Operator: Hello, and welcome to Universal Logistics Holdings Third Quarter 2020 Earnings Conference Call. [Operator Instructions] During the course of this call, management may make forward-looking statements based on their best view of the business as seen today. Statements that are forward-looking relate to Universal's business objectives or expectations and can be identified by the use of the words such as believe, expect, anticipate and project. Such statements are subject to risks and uncertainties, and actual results could differ materially from those expectations. 
 As a reminder, this conference is being recorded. 
 It is now my pleasure to introduce your host, Mr. Tim Phillips, Chief Executive Officer; Mr. Jude Beres, Chief Financial Officer; and Mr. Steven Fitzpatrick, Vice President of Finance and Investor Relations. 
 Thank you. Mr. Phillips, you may begin, sir. 
Tim Phillips: Good morning, and thank you for joining Universal Logistics Holdings' Third Quarter Earnings Call. Before we begin, I would like to thank the thousands of hard-working men and women of Universal for their continued attention to operating safely while fulfilling the needs of our customers. Because of your unselfish efforts, Universal continues to deliver real-world solutions in a less than optimal environment. 
 Universal had a great quarter. We saw a strong rebound from this quarter, increasing top line revenues over 40% and more than doubling our earnings per share. Yesterday's reported results included $2.5 million in losses at our company-managed brokerage operation, which cost us 70 basis points in operating margin and $0.07 per share in the quarter. The rest of our operations were firing on all cylinders, led by a robust rebound in automotive production, massive imports and record rates in our truckload van operation. 
 We expect robust volumes to continue through mid-November, tapering off during the normal automotive holiday slowdowns around Thanksgiving and Christmas. Based on what we are hearing from our customers, 2021 should be a great year in each of the service lines, particularly autos where we remain bullish on light trucks and SUVs. Jude will update our outlook for Q4 and the full year 2021 shortly. 
 For the third quarter, we reported $365 million in top line revenues, and earnings of $0.50 per share, which included the previously mentioned $0.07 per share loss in company-managed brokerage, and a $0.01 per share loss for noncash holding losses on our marketable securities portfolio. 
 We entered the third quarter with tempered optimism of a continued recovery of the U.S. economy. And the rebound of associated freight volumes lost in the second quarter, shelter-in-place orders that plagued many retail providers. 
 Each of our transportation service lines experienced substantial increase in freight volume as the quarter progressed. We began to experience a tightening labor market over the same corresponding time frame and believe this will be a challenge in the months to come. There's a definite shortage of both truck drivers, warehouse, men and women across the country. We do not believe this will go away anytime soon and are facing it head-on. We're increasing pay rates across the country and offer some of the newest and most well-maintained equipment in the industry. We believe this will give us a competitive advantage to attract, retain the talent we need to further our success. 
 On the sales front, we continue to make inroads with our cross-pollination of customers between service lines. We've identified substantial opportunities where we are providing supreme service to our customers, but are only conducting business with them in one of our service lines. With an expanded collaborative effort between the sales group, we have identified multiple opportunities within each of our top customers. 
 Our value-added and dedicated transportation service lines have continued to add to the $140 million in previously reported new business with $30 million in additional third quarter awards. These awards will layer in over the next several quarters. 
 Our transportation sector has experienced many opportunities brought about by the recent freight surge. Intermodal closed on $7 million of new national drayage business while experiencing a substantial increase in volumes within our existing customer base. Our company-managed brokerage operation is rebidding over 1/4 of its contractual business that is expiring in the fourth quarter. 
 The truckload agent group onboarded 17 new agents in the third quarter, which should result in over $20 million of yearly truckload agent revenue. 
 Now for some color on each of the service lines. For intermodal, we experienced a 16.6% increase in loads over the second quarter as well as an 18.2% increase in loads over the same period last year. Although volumes have increased, rates are still lagging with the average revenue per load, excluding fuel, down 11% over the same period of 2019. September saw Universal's intermodal group moved the most amount of loads ever in their history. This trend has continued in October as the average daily load has increased 8.7% from the third quarter average. Any increase in rates will drive operating leverage in this business and further drive profitability. We remain very bullish on our drayage franchise and we'll continue to expand our national footprint and seek additional M&A in this space. 
 The truckload group saw robust rates and volume and company terminals that support dry van. However, our flatbed business, that supports metals and industrial goods underperformed. From the first quarter of this year, revenue from metals and industrial goods was up 22.6% and 15.3%, respectively. 
 As mentioned earlier in my comments, our company managed brokerage operation group had an extremely challenging quarter, with load count down 7.8% over the same period in '19, we could not advance the contracted rates with our customers quick enough to offset the rates from our partner carriers. Although loads were down, revenue per load was up 11.5%, still leading the group in negative margin territory for much of the quarter. 
 Gross margin for the quarter finished in the low single digits. This led to an operating ratio of 104.5% on quarterly revenues of 56.4%. 
 We have been profitable each week in October thus far and look for that trend to continue the remainder of the year. Our largest opportunity remains with our company brokerage group. 
 For upcoming bids in Q4 and Q1 of 2021, we will remain disciplined with our pricing and maximize the increases that we worked so hard to obtain in the third quarter. The highlights of the third quarter was the automotive industry's return to pre-COVID production numbers. We are equally optimistic in the near-term demand for SUVs and trucks, which our value-added services and dedicated sectors so strongly support. 
 Dedicated load volumes increased 15.7% compared to the same period last year. We continue to layer business wins into our existing dedicated locations that has allowed for the optimization of our dedicated assets. Dedicated to the business that 3 years ago was operating over 100% of revenues, now it has not only best-in-class management drivers and equipment, but best-in-class margins. 
 Our value-added group successfully launched 3 new sites supporting Class 8 truck manufacturer and began operating in plant for a heavy equipment manufacturer. 
 Launch costs were also a drag of about $1 million in Q3. We expect about the same in Q4 as those operations ramp-up to full production. Our value-added business supporting auto manufacturing saw its best results of the year and pent-up demand and inventory restock SUVs and pickup trucks was at breakneck pace in the quarter. 
 Production volumes are expected to be solid in Q4, although the number of billable weeks will be down due to the upcoming holiday season. 
 The SAAR for 2021 looks great, returning to pre-COVID levels. We expect to have another banner year in our legacy business as well as reaping the rewards of our contract wins mentioned on previous calls. 
 In closing, our ultimate success will still depend on the health and performance of our associates. We will remain acutely aware of COVID-19 in the potential resurgence over the next 2 quarters. We will ensure we are on point with our COVID response and readiness plan as to support our associates and provide a safe work environment. 
 I would like to now turn the call over to Jude. Jude? 
Jude Beres: Thanks, Tim. Good morning, everyone. Universal Logistics Holdings reported consolidated net income of $13.6 million or $0.50 per share on total operating revenues of $365 million in the third quarter of 2020. This compares to a net loss of $8.4 million or negative $0.30 per share on total operating revenues of $375.5 million in the third quarter of 2019. 
 To refresh everyone's memory, Universal's third quarter of 2019 results included pretax charges of $27 million of litigation charges as well as an estimated $4 million impact attributable to the UAW strike against General Motors. 
 Consolidated income from operations was $22.1 million for the quarter compared to an operating loss of $7.4 million 1 year earlier. EBITDA increased $26.8 to $38.5 million in the third quarter of 2020, which compares to $11.6 million in the third quarter of 2019. 
 Our operating margin and EBITDA margin for the third quarter of 2020 are 6% and 10.5% of total operating revenues. These metrics compare to negative 2% and positive 3.1%, respectively, in the third quarter of 2019. 
 Looking at our segment performance for the third quarter of 2020. In our transportation segment, which includes our truckload, intermodal and freight brokerage businesses, operating revenues for the quarter declined 6.7% to $237.1 million compared to $254.1 million in the same quarter last year. While income from operations increased to $10.4 million compared to an operating loss of $17.2 million in the third quarter of 2019. The previously mentioned litigation charges in the third quarter of 2019 were attributable to our transportation segment. 
 As highlighted in our release and in Tim's comments, the largest headwind for Universal's transportation segment in the third quarter was our company-managed brokerage operations, which operated at a loss of $2.5 million for the quarter on $56.4 million of top line revenue. 
 In our logistics segment, which is comprised of our value-added services, including where we service the Class 8 heavy truck market and our dedicated transportation business, income from operations increased $1.80 million to $11.6 million on $127.7 million of total operating revenues compared to operating income of $9.8 million on $121 million of total operating revenue in the third quarter of 2019. 
 On our balance sheet, we held cash and cash equivalents totaling $8.7 million and $6.7 million of marketable securities. Outstanding interest-bearing debt net of $1.7 million of debt issuance costs totaled $466.6 million at the end of the period. Excluding lease liabilities related to ASC 842, our net interest-bearing debt to reported TTM EBITDA was 3.19x. 
 Universal's 12-month target total leverage ratio is between 2 and 2.5x EBITDA. 
 Capital expenditures for the quarter totaled $30.5 million, and we have spent $72.9 million year-to-date. Our forecasted CapEx for the full year are now expected to be in the $90 million to $100 million range as the number of our real estate projects will roll into 2021. 
 Interest expense for the year is expected to come in between $14 million and $16 million. If current -- if the current operating environment holds, we expect fourth quarter top line revenues to be between $345 million to $365 million and operating margins to be in the 6% to 7% range. 
 As Tim mentioned in his comments, we have less billable days in our value-added dedicated transportation in Q4 than we did in Q3 due to the upcoming holiday season. 
 For the full year 2021, we are forecasting top line revenues between $1.6 billion and $1.7 billion and operating margins in the 7% to 9% range. 
 CapEx for 2021, exclusive of any additional business wins and strategic real estate purchases, will be in the $65 million to $75 million range and interest expense between $14 million and $16 million. 
 Finally, we are excited to announce that on Wednesday, our Board of Directors reinstated Universal's $0.105 per share quarterly dividend. This quarter's dividend is payable to shareholders of record at the close of business on December 7, 2020, and is expected to be paid on January 4, 2021. 
 With that, Tia, we're ready to take some questions. 
Operator: [Operator Instructions] And your first question will come from Chris Wetherbee with Citi. 
Chris Wetherbee: So first, maybe a bigger picture question. Just want to pick up on what you just mentioned there about 2021, the outlook, particularly the margin guidance 7% to 9%. Can you talk a little bit about sort of what are the variables that could influence coming in at sort of the bottom end or maybe the high end of that range specifically? I guess I want to make sure I understand sort of the market dynamics and if there's anything specific on the cost side that you think you can control to get those numbers up? 
Jude Beres: Yes, for sure. I think, Chris, a couple of things. First is that the wins that we've mentioned on previous calls, the $140 million plus the additional wins that we've reaped in Q3 are all in our higher-margin businesses. So value-add, as Tim mentioned in his comments -- are dedicated, as Tim mentioned in his comments, was a real drag on our earnings 3 years ago, but now that is operating within our target margin expectations of 10% to 12%, as is our value-add business. So the more and more of that type of business that we bring on at those close to those historical margins will really help us drive profitability. 
 Now that, in conjunction with the M&A that we've done and the density that we've built in the intermodal franchise over the years, the more volume that we pushed through that intermodal network will, of course, continue to drive that operating leverage that we see in that business. So if imports just get to a normal run rate, and we see any type of improvement in rates which are still down year-over-year, it's really going to put us in a good position to hit that target margin range that we've guided today. 
Chris Wetherbee: Okay, okay. Got it. That's helpful. So a couple of follow-ups there. We had the $140 million in terms of the new business wins. Did you give a specific number for the third quarter? And is there any discussion around what the pipeline might look like for 4Q and beyond? 
Tim Phillips: Yes. Chris, this is Tim. Yes, we secured in the value-added group, $30 million of new third quarter wins. And what we expect to happen is that to layer in, in the fourth quarter. There should be pretty close to an open yearly run rate on that. We expect it to be somewhere in the neighborhood of about $7.5 million quarter, and we should be at full run rate by the end of the fourth quarter into 2021 in those projects. 
Chris Wetherbee: Okay. That's very helpful. And then rates, you mentioned the intermodal side rates still being negative. I guess I wanted to talk about a little bit intermodal rates as well as on the truckload side, how we think that, that kind of plays out as we move into next year. Certainly, it seems like a strong outlook starting with truck and presumably, intermodal follows. But can you give us some of your thoughts around what you think rates could look like in 2021? 
Tim Phillips: Yes. I would think that truckload rates -- well, they've kind of skyrocketed out of July into the fourth quarter. We're experiencing, of course, as everybody else is great spot rates I'm not sure the customer's mentality has come full circle yet on contractual rate, but we are having some progress in seeing those rates at a higher level. 
 I don't know if I have exact percentage guidance for next year, where we see the rates falling, but we expect that as we go through these contracts and through bid season, that we will see at least a mid- single-digit rate increase for -- going into 2021 on the truckload side. 
 Now I can't guarantee that on the flatbed open debt portion of our business because as I've mentioned in the comments, we're still seeing some lag in steel, metals, industrial goods that support that on the truckload side. So we're not -- I'm not quite as bullish on that. The intermodal -- on the intermodal front, I think that there was such a cavity that we saw not just entering into what -- in the state with the COVID, but it had affected intermodal before that because of the Chinese shutdown and so we've had months there that we had a kind of depressed state of volumes coming into the country, which drove the rates down. 
 Now we're seeing some rate escalation there. It just hasn't caught up as quick as the truckload market. So we expect rates to continue to climb in the intermodal market. We do think that we'll see better rates per bill going into '21, but we're cautious on what that's going to look like. And the other thing that I think will play into our game plan is that we also want to be a volume player, as Jude had mentioned. We're going to want to make sure we're putting a high amount of velocity through the intermodal space so we can gain on that. So I guess what I'm saying there is as rates go up, we'll be cautious. But we also want to make sure that we're getting the volume pushed through the intermodal product. 
Chris Wetherbee: Okay. Yes. No, that certainly makes a lot of sense. And I guess the last question for me. I know you touched on this, but just kind of coming back to the brokerage and the transportation segment. In terms of the profitability there, we've heard a lot of the pinch in this business kind of across the industry over the course of the third quarter, just given what's happening with spot rate environment. Is this something that can be balanced for 4Q where you can come back to profitability? I know you've talked a little bit about it, but can you expand a bit more on it and your thoughts into next year? 
Jude Beres: Yes. So Chris, this is Jude. So yes, I think really more of a breakeven in Q4. I mean, we have a huge portion of our business in Q4 and Q1 that's really rebid, which will kind of set the table for 2021. So we're just really just trying to get that back to a breakeven, renegotiate the best that we can in Q4 and Q1 and then come out at the end of Q1, early Q2 with the right customers and the right level of profitability for 2021. But it's still going to be a grind. 
Operator: The next question will come from Jeff Kauffman with Loop Capital Markets. 
Jeffrey Kauffman: Congratulations. 
Tim Phillips: Thank you. 
Jeffrey Kauffman: So a couple of questions. Can you talk a little bit about the delays that you're seeing on the intermodal dray? I know that's a complaint that a number of intermodal providers have been talking about. And did that cause some revenue slippage, in your opinion, in intermodal this quarter? And kind of what's the status of that as we head into 4Q? 
Tim Phillips: Yes. Great question. Yes, we did, like many others, see some delays associated with the high level of import volume coming in from the international standpoint as well as some of the congestion at the railheads around the country, on both international and domestic. And yes, it did have an effect. I mean, we only have a certain amount of trucks that we have in rotation. So where we run into these pinch points at ports and rails. And more so, it's at the ports right now. And specifically, the West Coast is in a little bit of direct based on the large amount of import volumes coming in. So where we could plan on navigating a port from 45 minutes to 1.5 hours, we may have to plan now for being there from anywhere from 1 to 5 hours, depending on where the volumes or what peers the volumes are coming out of. So we've lost a little bit of the productivity per truck and getting it to the customer. 
 And then on the other end of the spectrum, of course, with the large volumes coming into the state, the customers and the warehouses, they're also being stressed and that's taken labor out of it, right? Do I have enough labor to staff my facility, it's just the sheer volume. And I'll use the West Coast example again in L.A. and Long Beach, that further exacerbated the chassis that have to be used, of course, to move the containers if they're sitting in a warehouse under a load, then they're not available to go back into the port. So there's some inefficiencies in the whole intermodal port rail congestions that's causing some -- maybe missed the opportunities for revenue. But we know that freight still has to be moved at some point in some time. So we're looking forward to those continued high volumes. 
Jeffrey Kauffman: So put differently, you're not getting as many loads per vehicle as you could be getting. And I guess you kind of answered the second half of that question, which is do those eventually come to you just slower? Or do you risk losing those loads to other dray companies? 
Tim Phillips: Well, there's always a risk of loss. But I think in much of our business, we're able to work with the customers because as we don't have an infant amount of trucks, neither does the whole industry and we're seeing pinch points on that everywhere. So overall, Jeff, the customers have been accommodating into working into our capacity and what we're able to bring them. If it's something that's urgent, sure, they may look for somebody else, but we don't think that there's going to be a deterioration in our revenue based on how many loads we can pick up right now or our productivity as it sits. 
Jeffrey Kauffman: Okay. When I look at rail carloads that are released from the American Association of Railroads, it's accelerating in the month of October. Can you give us an update on what you're seeing in your intermodal business? And has these -- have these congestion issues alleviated at all or are they getting worse? 
Tim Phillips: Well, when you say railcar loads or intermodal rail network, I'm not so sure on the train speed that it takes a train from Los Angeles to Chicago, but I do know that the trains that are full and the intermodal boxes we're picking up, whether they're domestic 53s or international 40 are coming in at a heavy volume. So less in some of the major metropolitan areas, the volumes are large and to navigate. We're working the drayage end of it to navigate the rail terminal has taken a little longer. Now I don't have specific numbers, but I can tell you this, it's nothing like it is in some of the ports on the West Coast as far as getting in and getting out. 
Jeffrey Kauffman: Okay. And then just 2 quick operating expense questions. When I looked at the line numbers, there were 2 lines that surprised me a little bit. When I looked at direct personnel at benefits, it came in a little higher than I was looking for. You saw revenues up 11%, but personnel up 23%. I was just wondering if there was anything unusual in there like a stay bonus or adding back expenses or something. 
 You mentioned the ramp-up and the buildup you had on some new logistics business. And in the depreciation line, which normally doesn't move a whole lot, came in a little lower than I expected. I was just wondering what's going on there. 
Jude Beres: Yes, for sure. Yes, no problem, Jeff. So yes, a couple of things. So on the wages, yes, it's definitely -- the wages are up because we're launching and have been launching customers on the value-add and the dedicated side. So on one of our value-add customers, we're launching with SAP and we're not billing the customer yet. So October will be the first month that we're billing on -- to apply against those wages. So those should get more in line, at least on a percentage basis over the next couple of quarters. 
 And then secondly, on the D&A line, that was an adjustment that we had to our amortization, which related to our purchase accounting for Roadrunner Intermodal that we bought last year. So now that, that is trued up, the run rate on that should be consistent going forward. 
Jeffrey Kauffman: Okay. Great. Well, great idea bringing the dividend back, love seeing that. And it looks like things are moving in the right direction. So congratulations. 
Jude Beres: Thanks, Jeff. 
Tim Phillips: Thank you. 
Operator: The next question will come from Bruce Chan with Stifel. 
J. Bruce Chan: Just a couple of quick ones left here for me. I just want to focus on brokerage for a minute. I get the margin squeeze there, that makes a lot of sense given what's going on. But maybe a little bit surprised at the low decline. And I'm wondering if that's business that you may be actively fired? Or was that just difficulty sourcing capacity? Can you just give us some flavor around that dynamic? 
Tim Phillips: Yes, for sure. And I guess I would start off with -- we don't fire any of our customers, but we do work diligently with them to try to come up with a rate that we're exposed for them moving their freight and outsourcing the capacity. When you kind of hit the nail on the head, we just took a very strategic approach that we had to watch some of the moves that we were taking because they were -- we were coming at large losses. So we worked collaboratively with our customer, and there was some lanes that we mutually agreed that potentially would be resourced. 
 So no, there's not a lack of work in the brokerage market right now. There's just a level of discipline that we're trying to maintain to get those margins back in line. 
Jude Beres: One further comment on that, Bruce. Our tender acceptance in Q2 was over 80%. Our tender acceptance in Q3 was only 44. So if we would have accepted those same number of loads, our losses would have been about 3 to 4 as large. 
J. Bruce Chan: Got it. Okay. Appreciate that color. And then just moving over to the logistics business real quick. Nice result there. You've been posting some nice wins. And just thinking kind of big picture about the industry, we're seeing a lot of major changes, a lot of EV manufacturers roll out. Are there any material opportunities there for universal? 
Tim Phillips: Well, definitely. We think that we will be a player in that space and we're already engaged. One of the 10 launches that we have in some streamer process right now involves EVs. And I think that we've gained a lot of experience with it over the last 6 months or so. We'll continue to gain as we fully launch it, and we're definitely prepared to capitalize on those opportunities moving forward. 
J. Bruce Chan: Okay. Awesome. And then just last one here on the Class 8 side. You'd mentioned in your prepared remarks that, that business was a little bit slow. But as we kind of look at the Class 8 orders coming in, in September, and obviously, we'll see what happens in October here. It looks like things are starting to ramp. What's your outlook for that business there? 
Jude Beres: So once again, it was -- the cyclical was down about 40% year-over-year from '19 to '20. And I think it's expected to go up 38% from '21 versus '20. So we basically ride perfectly along with the cyclicality of the Class A, so as our profitability or nonprofitability just basically moves directly with whatever those orders are. So if orders are bigger in Q4, they can get some more deliveries, that will be great for our logistics franchise that supports Class 8. If not, it will be depressed as it has been in the past when they don't hit their delivery targets. 
Operator: [Operator Instructions] We do have a question from Mike Vermut with Newland Capital. 
Michael Vermut: Can you just go over -- you've had some excellent wins in logistics, just what the pipeline looks there, new bids out there. Can we expect any or are you hoping for any of the same size of wins this year? I'm sure they're not factored into the guide, but what's out there? 
Tim Phillips: No, they're not factored in because the sales process with some of those more complex operations that we bid on is long. But we're pretty happy with what we do have in the pipeline, not getting an exact dollar amount of guidance. We know we have many opportunities out there that we feel better than 50% confident that we're in the running or maybe even in the final stages with the customer. 
 So excited about what we have in the pipeline. And yes, there are some -- there are a few of those out there that are equally as potent and large as what we experienced with some of those ones we mentioned in prior calls. So our expectation is that we are in the latter stages with a few of them, we're optimistic that we can move the ball forward, and there are a couple that are larger that we would hope to be able to report on, maybe within the next couple of quarters that they come to fruition. 
Michael Vermut: Excellent, excellent. Okay. I guess just going through -- you said for 2021, just to reiterate, 1.6% to 1.7% and a 7% to 9% range? 
Jude Beres: Yes, that's right, Mike. 
Michael Vermut: So that gets you to roughly a $3-plus earnings number, if we just do the math? 
Jude Beres: Yes, yes, yes. Basically on the midpoint, $275 million at the low and $382 million at the high. 
Michael Vermut: $382, right? Okay. It's a great range. Yes, fantastics number is trading below $20 right now. So that's my next question. 
 When we're looking at acquisitions, and you've done some fantastic acquisitions over the past couple of years. When you're thinking about, we're trading at, call it, 7 -- 6x, 7x earnings and 5.5x, 6x EBITDA. Can you really find anything out there better than that? I know we're looking to pay down debt, but there's a point where instead of going to do acquisitions, you take the cash, you just buy some of the stock here at these levels. There's nothing that trades like this out there? 
Jude Beres: No, that's the exact calculus that actually we normally do. So we look at those opportunities that we have. But once again, our M&A is very, very strategic. We look for specific things. So we're just not out -- we're not just hunters and gatherers, trying to buy a whole bunch of stuff that doesn't make a lot of sense. So we're looking for strategic acquisitions, and we always look at the stock and how it's trading on an EBIT, EBITDA. And if it's at a multiple that's less than what we could buy a company at, then, of course, our stock looks attractive. And of course, in 2021, we'll definitely keep that stock buyback at the front of our capital allocation, if the stock keeps trading at depressed levels. 
Michael Vermut: Excellent. Okay. And then one I just wanted to go through. So -- and then CapEx, you said $65 million to $75 million and $14 million to $16 million in interest? 
Jude Beres: Yes, for 2021. And that doesn't include if we win any of the value-add opportunities that Tim just mentioned. And of course, we're also in the market for strategic real estate in our large intermodal and truckload market. So we'll just layer those in as we get them. 
Michael Vermut: All right. That's great. Yes. So at the midpoint, I got, it was like $330 million in or something like that on that earnings. That's great. 
Jude Beres: Yes, yes. That's right. 
Michael Vermut: Fantastic. And thanks for reinstating the dividends. 
Operator: The next question is a follow-up from Jeff Kauffman with Loop Capital Markets. 
Jeffrey Kauffman: This is great. I get to follow one of the better sell-side analysts out there. So something picked my interest, you were answering the question on the Class 8 ramp-ups. And you mentioned one of them is an electric vehicle plan or story. And I know that's kind of a new butting area of Class 8. But I was just curious, are there different requirements on your logistics or value-added operation for electric vehicles? And is this something where you could develop a brand because every truck OEM, I'm looking at seems to be moving towards either EV or hydrogen or some kind of hybrid as we move forward. Does this change your requirements in the value added? Or is it pretty much the same thing you're just taking a different box into the plant? 
Tim Phillips: No. I think, Jeff, I think it's pretty much the same thing we're still doing many things with the parts, taking the parts to the plan, et cetera. And just to clarify on my statement there from an EV standpoint, we haven't navigated our way into the truck space but we will work with any EV opportunity that come through the pipeline. And I think that the EV opportunity we already are in works of launching will give us some great detail. If there is anything out there that we need to further hone our skill sets on. But to this point, our expertise in manufacturing or supplying the manufacturing of autos is still holding true with the EV product. 
Operator: And at this time, there are no further questions. Are there any closing comments? 
Tim Phillips: Thank you. We appreciate you calling in the Universal Logistics Holdings Third Quarter Earnings Call, and we look forward to talking to you again soon with either -- with even better news. Thank you. 
Operator: Ladies and gentlemen, thank you for participating in today's conference call. You may now disconnect.